Operator: Greetings, and welcome to The Container Store Fourth Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, the conference is being recorded. It is now my pleasure to introduce your host, Caitlin Churchill, Investor Relations.
Caitlin Churchill: Good afternoon, everyone, and thanks for joining us today for The Container Store's Fourth Quarter and Fiscal Year 2020 Earnings Results Conference Call. Speaking today are Satish Malhotra, Chief Executive Officer; and Jeff Miller, Chief Financial Officer. After Satish and Jeff have made their formal remarks, we will open the call to questions. Before we begin, I need to remind you that certain comments made during this call regarding our plans, strategies, expectations regarding liquidity and goals, our anticipated financial performance and our plans in response to COVID-19 and the potential impact of COVID-19 on our business may constitute forward-looking statements and are made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those important factors are referred to in The Container Store's press release issued today and in our annual report on Form 10-K filed with the SEC on June 17, 2020. The forward-looking statements made today are as of the date of this call, and The Container Store does not undertake any obligation to update their forward-looking statements. Finally, the speakers may refer to adjusted or non-GAAP financial measures on this call. A reconciliation schedule of the non-GAAP financial measures to the most directly comparable GAAP measures is also available in The Container Store's press release issued today. A copy of today's press release may be obtained by visiting the Investor Relations page of the website at www.containerstore.com. I will now turn the call over to Satish. Satish?
Satish Malhotra: Thank you, Caitlin. Welcome, everyone, to our Q4 and full year earnings call. Since joining the Company at the start of February, I've now met with teams across our organization. I work closely with them to understand our core strength and where the opportunities lie. These past few months have reconfirmed my belief The Container Store has a strong foundation. This company has built a unique position as the authority in providing our loyal customers with creative, multifunctional, customizable storage and organization solutions. Our passionate teams are energized by the recent momentum and are eager to make The Container Store the best version of itself. Numerous studies illustrate the benefits of leading an organized life, including reduced stress and improved emotional well-being. Our unique competitive advantage comprised of extensive product assortment, customizable solutions and expert team members help our customers realize these meaningful benefit. Additionally, we believe the addressable market is more than $20 billion when including the largest storage and organization market to the Custom Closets opportunity. While The Container Store holds a piece of that market today, we are keen to gain more market share. As a reminder, we offer a complete end-to-end experience to our customers. And we do that for Custom Closets, in-home organization services and our extensive general merchandise categories. This is all supported by our omnichannel presence. To dominate in this larger addressable market, though, we will focus on deepening our relationship with our customers, expanding our reach and strengthening our capabilities. Before expanding on these areas of focus, let me first review briefly our phenomenal fourth quarter performance, which Jeff will discuss in more detail. The incredible momentum we saw in the third quarter continued into the fourth quarter. We delivered results ahead of our previously provided outlook. For the fourth quarter, consolidated net sales were $314.7 million, up 30.4%, with an adjusted EPS of $0.71 compared to $0.26 last year. Our outstanding performance for the second half of fiscal 2020, combined with our disciplined focus on liquidity, allowed us to end the fiscal year with a strong balance sheet. We generated free cash flow of $121.1 million, of which we utilized approximately $78 million to pay down our senior secured term loan. We also saw continued growth of our POP! loyalty program. We recently surpassed 10 million members and celebrated this milestone by asking our loyal members to describe why they love The Container Store. And their responses were heartening. For example, one member said, I love The Container Store because it helps me reduce my stress by providing fantastic products to organize my home and life. Another member said, I love the sense of peace and contentment that comes with an organized space. Thank you, Container store. We received many responses that echoed these powerful customer sentiments. We have not only successfully maneuvered an unprecedented 2020, but we have also positioned ourselves to thrive by launching innovative products and marketing partnerships, acquiring new customers and strengthening our financial position through prudent expense management and debt reduction. With this strong foundation, we are moving forward to make The Container Store the best version of itself. The next chapter of The Container Store will be an evolution of who we are today. We aim to deliver a more purpose-led mission to enrich and transform the lives of our customers through the power of organization. As I mentioned, our focus going forward will be in three key areas: deepening our relationship with our customers, expanding our reach and strengthening our capabilities. Let's start with deepening our relationship with our customers. A recent survey we conducted informed us that our customer chose to make the most of their homes during the pandemic. Organizing spaces within their home help provide them with a sense of calm and control in an otherwise chaotic environment. Customers saw The Container Store as the authority in assisting them in de-cluttering and distressing. They valued both our extensive multifunctional and inspirational product assortment and our friendly, engaging and knowledgeable employees. We believe we can successfully deepen relationship with our customers by concentrating our efforts on our product assortment, in-store shopping experience and branding. Regarding our product assortment, our customers create discovery, inspiration and solutions that simplify their lives and maximize their spaces within their homes, and we aim to deliver just that. We will do this through product newness, collaboration, the expansion of our superior private label assortment and the amplification of our sustainably sourced products. I'm pleased to share that we have rapidly grown our sustainably sourced products in just the past few months to approximately 10% of our assortment. This achievement was fueled by the launch of our exclusive partnership with Marie Kondo, featuring more than 100 sustainable products. And later this summer, we will be launching a sustainable collection with The Home Edit. Our commitment to sustainability goes beyond brand collaborations though, as we look to expand our assortment of natural fibers and explore new options for renewably sourced products and recyclable products. This important initiative will be further supported by our newly hired Vice President of Merchandising. Turning to our in-shopping experience, our customers also yearn for a friendly and engaging shopping experience with trusted and knowledgeable employees. We know that customers who engage with an in-store employee convert at a significantly higher rate and spend more than those that don't. To foster a deeper level of engagement, we will be enhancing our of excitement in stores by adding hosts, zoning key areas and creating memorable experiences with in-store play zones and demonstrations. Customers will also see more curated visuals that inspire and teach. And our marketing campaigns will focus more on product discovery. Our expert organizers will be available to provide the highest level of service. And our stores will become the ultimate destination for customers looking for new ways of living through the power of organization. Finally, we know branding that evokes emotion is far more impactful than functional messaging. We will refine our vision and purpose to galvanize this emotional connection, and champion the enriching benefits of living and organized life. This will include utilizing more before and after and real life images and user-generated testimonials and stories. We'll also customized customer interactions and embed emotional and lifestyle elements across our customers' journey, all of which will be supported by an enhanced loyalty program that rewards a deeper level of engagement. Let me now turn to our second priority, expanding our reach, starting with Custom Closets and Home Solutions. We own a fraction of the custom closet market, and we are eager to amplify our share of that market by harnessing our end-to-end value proposition. For example, we will now intentionally per our in-home organizers with our Custom Closets customers. The in-home organizer will not only help customers organize the newly installed space, but will also help them find the right products that will complement that new space. Our objective here is to provide our Custom Closets customers with an orchestrated and frictionless end-to-end experience that they will come to value. We will also be introducing the endless possibilities of alpha to our everyday general merchandise customers through our curated Elfa starter sets and grab-and-go solutions. We believe that once our general merchandise customers experience the power of Elfa, they will likely transition into purchasing a custom design space, and we generate a lifetime value that is many, many multiples above their acquisition cost. Additionally, we aim to enhance our Custom Closets product lines. We have historically done very well in driving market share for spaces under $2,000, but we see significant opportunity to improve our market share in spaces above $2,000. Our current Avera promotion has demonstrated our ability to successfully sell spaces that average over $6,000. And lastly, we're also keen to grow our B2B and trade program. We have just brought the program in-house and have organized it under one central leader, our new Vice President and General Manager of Custom Closets. And in doing so, we expect the program to flourish. Now turning to our plan for e-commerce, for fiscal 2020, our website generated sales, inclusive of curbside pickup, grew 121%. Digital commerce has expanded across all social platforms. Mobile now accounts for 2/3 of our online traffic, and we plan to accelerate our growth by significantly improving the everyday online experience. This is executing our three new strategic partnerships. With Narvar, we will fulfill -- we will improve fulfillment transparency for our customers and make returns easier for them. With Instacart, we will enhance our delivery capabilities with same-day delivery. The Afterpay, we will offer customers the flexibility of a buy now, pay later option. We are excited about the future growth potential of our e-commerce business. Regarding our store network and collaboration, we know that our customers value our physical stores and the connections that they make with our trusted and knowledgeable employees within them. We also know there is significant white space opportunity for The Container Store, which we will address over time. Our immediate focus is on maximizing the productivity of our existing store fleet, which will be -- which we believe is a meaningful opportunity. And we would realize this opportunity by deepening our relationship with our customers, through our product assortment, in-store shopping experience and branding. We are also determining our future store growth plans though. This includes the go forward store size and configuration. We know that smaller store formats work well through the test that we have conducted to date. And we have reason to believe we can go even smaller. We plan to test a smaller and more productive store during fiscal year 2022. In addition, we also believe we can expand our reach by exploring a shop-within-shop concept with quality retailers to complement our business. Our newly hired Vice President of Real Estate will help further formulate our expansion plans. As it relates to collaborations, the nurturing of our relationships with The Home Edit and Marie Kondo will continue to prosper with the release of the highly anticipated shows on Netflix. We are also cultivating new relationships with influencers that have category credibility and can expand our digital presence. For example, our kitchen category will soon be supported by newly formed culinary partnerships. These mutually beneficial relationships allow us to reach new and existing customers in creative ways. Our third and final priority is to strengthen our capabilities. We plan to do this in four ways: one, through continuous improvement, which entails capturing operational efficiencies through process reengineering and leveraging technology in a way that allows us to become more efficient. Operational efficiencies will be reinvested back into the business to support our strategic priorities. Two, by becoming an employer of choice, and fostering an environment that is diverse, inclusive and equitable, the recent hiring of our new Head of Diversity, Equity and Inclusion, will support this critical initiative. Three, by expanding our focus on environmental, social and governance initiatives, I'm proud to announce that as of today, the power used by all of our stores, distribution centers and corporate office will now be offset by our investment in 100% renewable energy. Additionally, we will perform a materiality assessment in fiscal 2021 and have just hired a new Head of ESG to support this effort. And finally, we will strengthen our capabilities by creating a more streamlined organization that is aligned to our strategic priorities. And as previously mentioned, we have made several critical hires to complement our current leadership team. We are thrilled at The Container Store's ability to attract great talent, including the recent addition of our new Chief Information Officer, Preeti Saha. In summary, these strategic priorities that I've just laid out are expected to drive market share gains and effectively double our business over time, and all the while unleashing the enriching benefits of organization to our customers. In closing, I could not be prouder of our teams for their accomplishments that they achieved before my arrival. They navigated a challenging and dynamic environment throughout fiscal 2020 incredibly well. And they're hunger to win has fueled this powerful brand. Additionally, these results could not have been made possible without my predecessor's steady leadership and resolves to survive. As we look ahead, we are eager to make The Container Store the best version of itself. I'll now turn the call over to Jeff to review our financial results and outlook in more detail.
Jeff Miller: Thank you, Satish, and good afternoon, everyone. As Satish shared, our fourth quarter performance exceeded our expectations. These results underscore an unprecedented year that required discipline and dedication from all of our teams. I could not be more proud of our results and the strong footing with which we enter fiscal 2021. For the year, despite the impact of COVID-19 and resulting store closures, we delivered sales of $990.1 million and adjusted EPS of $1.24. These compared to sales of $916 million and adjusted EPS of $0.30 in fiscal 2019. Fiscal 2020 includes approximately $17.7 million of incremental sales and $0.07 of incremental adjusted EPS related to the 53rd week. And turning to the fourth quarter, consolidated net sales, inclusive of the 53rd week, were $314.7 million, a 30.4% increase year-over-year. By segment, net sales for The Container Store retail business increased 31.3% to $294.2 million compared to $224.1 million last year. As previously mentioned, the 53rd week contributed approximately $17.7 million of incremental sales to the fourth quarter. And as a reminder, in Q4 of 2019, we had 51 store closures in the last few weeks of the quarter, of which 19 were closed longer than seven days. General merchandise categories were up 41.6% in Q4, contributing 19.4% of the 31.3% increase. Custom Closets sales, driven by our annual Elfa sale, were up 22.2% and contributed the remaining 11.9% of our sales increase. Sales from our online channel were strong in Q4, increasing 72.2% over the previous year. When you include curbside pickup, our website generated sales in Q4 were up 92.7%. These represent a total of 27% of TCS net sales compared to 18.4% in Q4 last year. We ended the quarter with a normalized level of orders taken but not shipped, totaling approximately $1.3 million. Elfa third-party net sales increased 18.8% to $20.5 million. Excluding the impact of foreign currency translation, Elfa third-party net sales increased 5% year-over-year. From a profitability standpoint, our consolidated gross margin for Q4 was 59.3% compared to 59% last year. The 30 basis point increase was driven by higher intercompany profit on sales of Elfa product at TCS this year as compared to last year. By segment, the gross margin at The Container Store decreased 60 basis points primarily due to increased shipping costs as a result of higher mix of online sales and an unfavorable mix of lower-margin product and service sales. These costs were partially offset by less promotional activity. Elfa gross margin decreased 70 basis points, primarily due to higher direct material costs. Consolidated SG&A dollars increased 16.4% to $123.4 million compared to $106.1 million in Q4 last year. As a percent of sales, SG&A decreased 480 basis points versus last year. The decrease is primarily due to the leverage of occupancy and payroll costs on higher sales during the quarter. Our net interest expense in the fourth quarter of fiscal '20 decreased 29.6% to $3.7 million from $5.3 million in the prior year. The decrease is due to a lower principal balance on our senior secured term loan facility with lower interest rates. The effective tax rate for the quarter was 25.8% compared to 29.7% in the fourth quarter last year. The decrease in the effective tax rate is primarily due to the impact of discrete items on higher pretax earnings compared to fiscal 2019. Net income for the quarter on a GAAP basis was $35.1 million or $0.69 per diluted share, this compares to GAAP net income of $12.5 million or $0.26 per diluted share in the fourth quarter last year. Adjusted net income for the fourth quarter of fiscal 2020 was $35.7 million or $0.71 per diluted share. Included in both GAAP and adjusted earnings per share for the fourth quarter of fiscal 2020 is an approximate $0.07 benefit from the 53rd week. Our adjusted EBITDA increased 66.8% to $59.5 million in the fourth quarter this year compared to $35.7 million in Q4 last year. Turning to our balance sheet, we ended the year with $17.7 million in cash, $166 million in net borrowings on our term loans. Total liquidity, including availability on our revolving credit facilities, was approximately $126.8 million. Our current leverage ratio is approximately one time. We ended the quarter with consolidated inventory up 5.2%. And while we've been able to keep inventory reasonably in stock, we continue to chase inventory in certain categories due to supply chain disruptions, and have adjusted our lead times accordingly. These adjusted lead times, along with increased sales, have led to increased inventory investment. We are very pleased with our strong free cash flow performance. We generated $121.1 million in free cash flow during the year, up significantly from last year when we utilized $2.9 million in free cash flow. We used a substantial portion of that free cash flow to pay down the balance on our term loan by approximately $78 million during the fiscal year and drive down our leverage ratios. The approximate $78 million pay down is inclusive of a $25.5 million payment we made during fiscal fourth quarter 2020. Total CapEx for the fiscal year was approximately $17.2 million. We deferred approximately $12 million of certain cash lease payments in the first quarter of fiscal 2020. Of that amount, about $4.7 million remains deferred at the end of the fourth quarter, almost all of which is expected to be repaid in fiscal 2021. As we enter fiscal 2021, we are very pleased with the start of our fiscal first quarter. We continue to see strength in our Custom Closets and general merchandise categories. As a reminder, we will be lapping certain pandemic-driven store closures that occurred in the first quarter of fiscal 2020. As a result, we expect Q1 consolidated sales growth to be approximately 50%. Adjusted EPS in the first quarter is expected to be approximately $0.09. Embedded in our earnings outlook is the continued impact of incremental shipping surcharges and higher commodity prices on our gross margin. However, we do expect Q1 fiscal '21 gross margins to improve over last year. The expected gross margin improvement over last year is due to a lower mix of online sales in the first quarter of fiscal '21 as compared to last year when we experienced temporary store closures and more promotional activity. As it relates to SG&A in our first fiscal quarter of '21, we expect to leverage fixed costs on higher sales volumes when compared to the same period last year. However, we don't expect SG&A leverage to be at the same levels we experienced in the second half of fiscal 2020 as we restore certain expenses that were temporarily eliminated in response to the pandemic combined with seasonally lower sales in Q1 as compared to the second half of the year. We're not providing full year guidance at this time due to the unusual and dynamic environment in which can create a wide range of possible outcomes. However, I will share a framework that will hopefully be helpful as you think about bottom line dynamics for the full FY '21 as we cycle an unprecedented fiscal 2020. In a scenario where sales increases are in the low single digits compared to last year, we would expect 150 to 200 basis points of operating margin contraction in fiscal '21 compared to fiscal 2020. The expected operating margin contraction is related to the combination of lower gross margins and higher SG&A in terms of dollars and as a percent of sales. As it relates to gross margin, like other retailers, we are seeing freight and shipping cost headwinds, along with higher commodity prices. We plan to employ multiple methods to help mitigate the impacts of higher cost which include vendor negotiations, actively managing our supply chain, along with adjusting our retail pricing and promotional cadence. On the SG&A side, we plan to restore certain expenses that were temporarily pulled back in fiscal 2020 as part of our pandemic management strategy, such as reinstating 401(k) match and merit increases. The gross margin and SG&A pressures will be evident in Q2 and will build through the remainder of the year. In fiscal 2021, we currently expect total CapEx to return to historical levels. We expect CapEx to be approximately $47 million, and it will include investments in technology infrastructure and software projects, existing store merchandising and refresh activities, our Elfa product manufacturing capabilities and new store development, inclusive of one location opening in fiscal 2021 and another anticipated in fiscal 2022. Additionally, we expect interest expense to be approximately $14 million and our effective tax rate to be approximately 30%. In closing, overall, we are proud of our fiscal 2020 performance, and the strong footing in which we have started fiscal 2021. We look forward to executing on the strategic priorities, Satish laid out and updating you on our progress throughout the year. That concludes our prepared remarks. I will now turn the call over to the operator to open up the lines for questions.
Operator: Thank you. We will now have our question-and-answer session. [Operator Instructions] Our first question comes from Steven Forbes with Guggenheim Securities. Please proceed with your question.
Steven Forbes: Satish, you mentioned higher conversion and spend right among customers who visit your stores. So just curious if you could provide a little more context here, right, as we think about the current, I guess, channel penetration rates in the business? And maybe you can talk about the typical customer journey, right? Those customers who are purchasing a lot, do they visit the store first, often, what is the difference in conversion and/or spend? Any sort of numeric statistics that you can speak to would be helpful.
Satish Malhotra: Thank you for the question. Look, what I will tell you is based on some of the research and studies that we've done. Obviously, any time that we can greet a customer and then engage with them, we see both our conversion and our average ticket increase. And that's why we feel very excited about our ability to add host into our stores and to ensure that we have zoning ready for our employees. It's something that we're very excited about. We've actually just undertaken an industrial engineering study, where we're now pulling back some payroll that we would spend on non-selling activities and reinvest it back on to the selling stage so that we can be available for those customers that walk into the door.
Jeff Miller: And there's opportunity on the conversion side and the online part of our business, too, where we're investing, Steve, where we -- where we can make it easier for our customer to interact throughout our website, whether it's through search, through payment methods with our recent announced strategic partnership with Afterpay. We can find multiple ways to get higher conversion, higher ticket with our customer base regardless of channel.
Steven Forbes: And then maybe just a quick follow-up, it might be a little early, but I feel like it's top of mind and certainly for myself. As we think about, right, the potential for the return, right, of -- or reacceleration in unit growth, you mentioned testing a small format store, I believe, right, next year, and then you also mentioned a store and in-store concept. So any sort of thought on the right cadence of growth, whether it's on a footage basis or how far out, right, is that store within the store concept and still sort of in idea formation stage? Or do you have partners in mind?
Satish Malhotra: Right. Well, Steve, as I mentioned, our second priority is definitely to expand our reach. And we definitely recognize a significant white space out there to open our new doors as well as the shop-within-shop concept, assuming we can find a quality retailer which we're confident we are looking for. But our immediate focus is to really maximize the productivity of our existing channels. And I think that is the right focus for us to take. And particularly, when you think about our stores and e-commerce business and how they're going to really greatly benefit from all of that product newness, collaborations, the private label, sustainably sourced products and the way that we will introduce Elfa sets and grab and go. So -- I mean that's just one sliver of how we're looking to increase our growth within our existing footprint. We talked about the area of excitement that's going to -- that we look to bring about and really foster a deeper engagement with our customers and our excitement around amplifying our Custom Closets market. So there are just a few areas of focus that we have in the immediate term to improve our productivity. And that will, in concept, be in the same manner as we look to explore what our future footprint is. As I mentioned, we have just hired our Vice President of Real Estate, and he can have joined us at a better time as we work through our growth plans. But we are confident that we will be testing a smaller store footprint in fiscal 2022. And that's going to give us a lot of information for us to deploy our future growth plans.
Operator: [Operator Instructions] Our next question comes from Tami Zakaria with JPMorgan. Please proceed with your question.
Tami Zakaria: So my first question is more longer term. I think you mentioned on your call that you see a $20 billion TAM for your business. I thought that was very interesting. So can you talk about the growth that segment has seen in the U.S. over the last few years. And looking ahead, as you built on these initiatives, you talked about, do you believe you can start growing in line with this segment's growth? Or is there opportunity to outgrow the market? Any thoughts on the long-term growth potential you see.
Satish Malhotra: Yes. Thank you, Tami, for the question. Look, we're really excited about the expansive addressable market, right? It's one of the reasons we called out the $20 billion opportunity. And we're so eager to get started on it that we've already kicked off several key initiatives that are going to allow to capture that growth immediately. We talked about -- when you think about deepening our relationship with the customers, we talked about how we're already growing our sustainably sourced products to 10% of our assortment. We're in the midst of rolling out dedicated end in our stores. Our website now, spotlights are user-friendly in-depth guide for all of our sustainably-sourced items. And then we're going to be launching The Home Edit collection, sustainable collection later this summer. That's just one example of what we're doing to capture this growth immediately. We've already started to accelerate the expansion of our private label business. We've added host, as I mentioned earlier, and we're personalizing our interactions with our customers through targeted e-mails. When I think about our expanding our reach, I have to say I was extremely happy with the way that our targeted Avera promotion has allowed us to successfully deliver premium spaces averaging over $6,000. It was a great way for us as a company to focus on a promotion and really see what we are capable of, and the results have been quite impressive. We're also bringing our B2B business in-house and we expect to see further growth coming from that. Jeff mentioned the implementation of some of our e-commerce strategic partners with Navar and Afterpay. We're piloting Instacart right now in Texas, and it's doing very well. And so when I think about the size of the prize and our ability to quickly go after it, hopefully, the actions that I've just stated demonstrate that we're not waiting. And we are really excited in eager to go after that growth as quickly as we can.
Jeff Miller: Yes. Satish, I would add to that, we are the only retailer that has the unique position that we have, right? We talked about it already in the priorities that you -- that we're laying out here on this call is going to allow us to tap into that marketplace even more efficiently, more effectively.
Satish Malhotra: Totally agree.
Tami Zakaria: Got it. Super helpful. And then a quick follow-up. Can you remind us what percent of your sales is currently Custom Closets? And given other products are seeing a nice benefit from all these collaborations, what's your sort of vision for the Custom Closets business in terms of its contribution to the total business, like where do you see the mix of this Custom Closets line go over time?
Satish Malhotra: Yes, Tami, right now, our custom Closets business is approximately 50% of our total. And as we continue to heavily focus on Custom Closets, we expect for that to continue to grow along with it. We're not necessarily sharing projections on how fast it's going to grow. But certainly, it's part of the -- our ability to double our business to $2 billion over the next few years, that's a big piece of the equation.
Jeff Miller: That's right. And primarily, the reason we're not able to tell you the mix there is because all of these initiatives are going to be driving growth. And each of the priorities will contribute at various stages. And so, it's difficult at this stage to donate what percentage is going to be grown by which particular channel.
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for any closing remarks.
Caitlin Churchill: Well, thank you so much for joining us today, and we look forward to making The Container Store the best version of itself. Have a great afternoon.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect your lines at this time. Thank you for your participation, and have a great day.